Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Silicom First Quarter 2024 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 You should have all received by now the company's press release. If you have not received it, please contact Silicom's Investor Relations team at EK Global Investor Relations at 1-212-378-8040 or view it in the News section of the company's website, www.silicom-usa.com.
 I would now like to hand over the call to Mr. Kenny Green of EK Global Investor Relations. Mr. Green, would you like to begin, please? 
Kenny Green: Thank you, Operator. I would like to welcome all of you to Silicom's first quarter 2024 results conference call. 
 Before we start, I would like to draw your attention to the following safe harbor statement. This conference call contains forward-looking statements. Such statements may include, but are not limited to, anticipated future financial operating results and Silicom's outlook and prospects. Those statements are based on management's current beliefs, expectations and assumptions, which may be affected by subsequent business, political, environmental, regulatory, economic and other conditions and are subject to known and unknown risks and uncertainties and other factors, many of which are outside of Silicom's control.
 These may cause actual results to differ materially from expectations expressed or implied in the forward-looking statements and which include, but are not limited to Silicom's increasing dependence for a substantial amount of revenue growth on a limited number of customers, the speed and extent to which Silicom's solutions are adopted by relevant markets, difficulty in commercializing and marketing of Silicom's products and services, maintaining and protecting brand recognition, protection of intellectual property, competition, disruptions to manufacturing, sales and marketing, development and customer support activity, the impact of war in Israel and in the Ukraine, rising inflation, rising interest rates, volatile exchange rates, as well as any continuing or new effects resulting from the COVID-19 pandemic and the global economic uncertainty which may impact customer demand through their exercising greater caution and selectivity of short-term IT investment plans. The factors noted are not exhaustive.
 Further information about the company's businesses, including information about factors that can materially affect Silicom's results of operations and financial condition are discussed in the annual report filed in Form 20-F and other documents filed by the company -- that may be subsequently filed by the company from time to time with the Securities and Exchange Commission. Therefore, there can be no assurance that actual or future results will not differ significantly from anticipated results.
 Consequently, investors are cautioned not to rely on these forward-looking statements. Silicom does not undertake to update any forward-looking statements as a result of new information or future events or developments except as may be required by law.
 In addition, following the company's disclosure of certain non-GAAP financial measures in today's earnings press release, such non-GAAP financial measures will be discussed during this call. Such non-GAAP measures are used by management to make strategic decisions, forecast future results, and evaluate the company's current performance. Management believe the presentation of these non-GAAP financial measures are useful to investors' understanding and assessment of the company's ongoing core operations and prospects for the future. Unless otherwise stated, it should be assumed that financials discussed in this conference call will be on a non-GAAP basis.
 Non-GAAP financial measures disclosed by management are provided as additional information to investors in order to provide them with an alternative method for assessing financial conditions and operating results. These measures are not in accordance with or a substitute for GAAP. A full reconciliation of non-GAAP to the GAAP financial measures are included in today's earnings press release, which you can find on Silicom's website.
 With us on the line today are Mr. Liron Eizenman, President and CEO; and Mr. Eran Gilad, CFO. Liron will begin with an overview of the results, followed by Eran, who will provide the analysis of the financials. I will then turn the call over to the question-and-answer session.
 And with that, I would like to hand the call over to Liron. Liron, please go ahead. 
Liron Eizenman: Thank you, Kenny. Welcome, everyone, to our financial results conference call for the first quarter of 2024. As we move through 2024, as many of you know, we are currently in the midst of significant headwinds, all coming together at the same time and strongly impacting our revenues. While I discussed them in detail in last quarter, the factors affecting us are, number 1, excess customer inventory of our product, which were previously built up during post-COVID and component shortages era when the supply chains were tight. Number 2, macroeconomic and industry slowdown, generally delaying IT infrastructure investment, and ultimately slowing down or pausing customer orders of our product. And number 3, in some cases, customer-specific factors causing them to delay or not to make new purchases under existing design wins.
 In light of those factors, as we explained last quarter, we launched a 5-year strategic plan whose goal is to generate significant value for our shareholders, even under the new market reality of today. Our 5-year strategic plan is aimed at returning Silicom to gradual and steady top-line and EPS growth with a financial long-term objective to increase our earnings per share to about $3.00 in 2028.
 A key element is to use our $80 million plus cash position to increase shareholder value through an aggressive share buyback, which would reduce share count by leveraging a strong balance to ensure our long-term growth potential remains intact.
 Our plan calls for purchasing 1.6 million shares during 2024 and 2025, which represented approximately a 1/4 of our full share count as of when we announced it. In the first quarter, we repurchased approximately 250,000 shares, representing a return to shareholders at a cost of $4.1 million. The Board of Directors has approved a new repurchase plan for the coming year, and our aggressive buyback will continue.
 I would like to stress that our very strong balance sheet and cash position allows us to continue business investment at an adequate pace without compromising our future. It supports a broad and deep pipeline as well as allows us to continue with our core R&D efforts, while not being significantly impacted by a loss of a few million dollars over the upcoming transition period.
 At the same time, an important factor in our strategic plan was to stabilize OpEx at a level that on the one hand maintains continuous support and adequate investment into our main growth drivers, while on the other hand conservatively balances our expenses footprint with today's expected revenue level under the current market environment.
 We continue to strongly believe in the long-term potential of our main product lines, namely Server Adapters and Edge Systems, and this includes investments in the development of 2 strategic new product families with significant revenues potential that we believe will increase our future success.
 A further step in our strategic plan was to shift focus of our sales and marketing efforts to a broader range of potential design wins, including smaller ones which have the potential to ramp up quicker and ultimately bring greater diversification to our revenues. We therefore made changes to our salespeople computation package to create the right incentives. We are already seeing the initial momentum of small to medium design wins and we see a broader pipeline of future potential design wins.
 In terms of our financial performance, for the first quarter we reported revenue of $14.4 million, within our expected guidance range which we shared last quarter. On the bottom line, we reported a net loss of $2.4 million. Despite this loss demonstrating the strength and quality of our working capital, we generated an impressive positive operating cash flow of over $13 million, contributing to our very strong net cash position of over $80 million, which I discussed earlier.
 I want to stress that our current working capital and marketable securities as of the end of Q1 is $133 million with a very high quality of inventory amounting to $46 million, accounts receivable, net of accounts payables of $7 million, as well as the $80 million in cash. All this represents about $21 per share.
 Looking towards the near term, we expect that second quarter 2024 revenues will be between $15 million to $17 million. We continue to expect that our 2024 revenues will be at about $70 million, impacted mainly by the headwinds and issues I mentioned earlier. We believe that the excess customer inventory and global economy headwinds will ease as we move forward throughout 2024, and thus second half revenues will be higher than those of the first half.
 Looking further out towards 2025 and beyond, we are modeling an approximate 20% compound average annual growth from 2024 baseline over the course of the 5-year plan. We expect that this growth will come from the ramp-up of already achieved SD-WAN and SASE design wins, additional edge system sales to leading telco and service providers, and from increased revenues related to our large roster of design wins and pipeline of potential design wins for server adapters and edge products with leading networking security and service providers globally. This growth does not consider potential significant individual upsides that we may experience from very large projects like the ones we had in the past, which may provide additional incremental growth for our business.
 To summarize, as you know, our environment is much more challenging going into 2024 for all players in the industry. I want to stress that Silicom is very well positioned as a key player in our industry. With over $80 million on the balance sheet, a deep pipeline, and a design win roster, I'm confident that our long-term growth story remains intact and we will achieve renewed growth starting from 2025 and beyond.
 We have a strong strategic plan in place, which focuses on ultimately bringing value to our shareholders, not just by returning to revenue growth, reducing expenses and growing profitability, but also by enhancing it through an aggressive buyback and a strong reduction in share count over 2 years. We have a very dedicated and loyal management team with a lot of experience in the hardware business. Most members of our management team and Board of Directors have been with us for many years and have already navigated our business to success through many market crises and transformation especially in 2000, 2008, and 2017, just to name a few.
 I strongly believe that the targets that I outlined are attainable by Silicom. I'm optimistic in our ability to successfully execute on this 5-year plan and bring earnings per share in excess of $3.00 by 2028.
 With that, I will now hand over the call to Eran for a detailed review of the quarter results. Eran, please go ahead. 
Eran Gilad: Thank you, Liron, and good day to everyone. Revenues for the first quarter of 2024 were $14.4 million, a decline from revenues of $37.2 million as reported in the first quarter of last year. The geographical revenue breakdown over the last 12 months was as follows. North America, 82%. Europe and Israel, 15%. Far East and rest of the world, 3%.
 During the last 12 months, we had 2 over 10% customers, and our top 3 customers together accounted for about 40% of our revenues. I will be presenting the rest of the financial results on a non-GAAP basis, which excludes the non-cash compensation expenses in respect of options and RSUs granted to directors, officers, and employees, acquisition-related adjustments, as well as these liabilities, financial income. For the full reconciliation from GAAP to non-GAAP numbers, please refer to the press release we issued earlier today.
 Gross profit for the first quarter of 2024 was $4.1 million, representing a gross margin of 28.5%, and compared to a gross profit of $11.9 million, or gross margin of 32% in the first quarter of 2023. As discussed last quarter, for the near term, our gross margin is expected to be at the lower end of our 27% to 32% expected range, and as our revenues grow from current levels over the longer term, it will increase towards the upper end.
 Operating expenses in the first quarter of 2024 were $6.8 million, compared to $7.1 million reported in the first quarter of 2023. We believe that this level represents our expected quarterly operating expenses during the rest of the year. Operating loss for the first quarter of 2024 was $2.7 million, compared to operating income of $4.8 million, as reported in the first quarter of 2023.
 Net loss for the quarter was $2.4 million, compared to net income of $4.2 million in the first quarter of 2023. Loss per share in the quarter was $0.38. This is compared with diluted earnings per share of $0.61, as reported in the first quarter of last year.
 Now, turning to the balance sheet. As of March 31, 2024, the company's cash, cash equivalents and marketable securities totaled $80.7 million with no debt. This represents an increase of $9.2 million just in the first quarter, a result of a positive operational cash flow of $13.3 million, net of share repurchase cost of $4.1 million.
 During the quarter, Silicom repurchased approximately 250,000 shares under our current share repurchase plan. As mentioned by Liron, based on our strong balance sheet and improved cash position, we intend to continue repurchasing our shares at a full pace.
 That ends my summary. I would like to hand back over to the operator for the questions-and-answers session. Operator? 
Operator: [Operator Instructions] The first question is from Alex Henderson of Needham & Company. 
Alex Henderson: A couple of questions just on the conditions in the field to start with. Can you talk to what you think the customer inventories look like in the field? How much maybe they were brought down by, and how long it will take to get back to a normalized condition within the field inventories? 
Liron Eizenman: Absolutely. So it's really case-by-case, customer-by-customer. On the one side, I can say we have customers that are almost back to normal. On the other hand, there are customers that it will take them longer, maybe the second half of 2024, maybe even a little bit more than that. It really depends on the customer. I can even say that we had some good and bad surprises that we've seen recently where customers that we were not expecting to place orders in Q1, placed orders in Q1 for a specific SKU.
 Does it mean that they completely depleted all the inventory? No, but it means that at least for certain parts they need more. But on the other hand, we also had other customers that we were expecting to place orders, but eventually they said that it would take them a little bit more time. It really depends on customer to customer. 
Alex Henderson: If you were to aggregate all your customers, can you talk to the percentage of the field inventory that might have been brought down? I mean clearly -- that clearing is the critical variable, I'll give you an example of -- with Extreme Networks, so yesterday they talked about a $45 million reduction in channel inventories, which gives us a sense of where they are and when they expect that to come into closer balance. Can you just talk about maybe the percentage of that field inventory? I assume you've calibrated it to some degree. 
Liron Eizenman: We are having those discussions. Not necessarily we know the exact percentage and it really depends from customer to customer. But I think overall we see a decrease, we see customers coming back to us and ordering, but there's also a different trend. I cannot give an exact number and I understand it's a key factor, but right now there's no specific number I can provide. 
Alex Henderson: All right. You've pivoted your go-to-market strategy to smaller deals, which have been the bread and butter of the company for as long as I can remember and I've been following you guys for a long time, and it's my understanding that those generally are fairly long process cycles from the time you win and start doing it. It takes time to get it engineered in. And then second, once it's engineered in, it takes time for those products to launch and to ramp. So how long do you think it will take for the small deal momentum to build? Is it 18 to 24 months type cycle? 
Liron Eizenman: So one of the main reasons to go to the, let's say, small to medium -- or bring back the focus to the small and medium design wins is partially because it's actually going faster -- much faster than the big design wins. So I can even say that we have seen a few small to medium design wins recently that are starting because sometimes it only takes one engineer to qualify a card and then put it in the server, test it, give the green light to purchasing, and it starts moving. Maybe not in big quantities, but we see it start moving.
 So I can say we're already seeing some success. And part of the reason to go -- and the second part, let's say, of the reason to go back to small to medium design wins is that sometimes those small to medium become big eventually, not immediately. So none of those that we won recently as small and medium wins has become more than that, but definitely we see some small to medium design wins already won, already starting, and the big ones, they will take more time for sure. 
Alex Henderson: Is it typical for these to be 12, 18, 24-month cycle times, or with a [indiscernible]? 
Liron Eizenman: No, for the small to medium, it's shorter than that. For the small-medium, it's usually a shorter time cycle than that. It's in the several months time frame, but it doesn't mean that they fully ramp up in this time line. It means that a decision can be made in a short period of time of several months, and then the ramp-up starts. The bigger ones are probably more, I don't know, 12 months sometimes, sometimes even more than that. But for the small to medium, it should be shorter than that. 
Alex Henderson: Shifting from the small deals to the larger deals. Obviously you had a lot of large deal momentum going into the supply chain problems. You basically signed a whole slew of deals. Clearly, some of those deals have been shelved. Some of those deals may never happen, but others are likely to still ramp, maybe with a delay in terms of the timing of the launch. Can you quantify or qualify the mechanics around those deals? To what extent you have clarity on what portion of them have really gone away and are just no longer there? To what extent do you think the other ones might still be in the pipeline and still be ready to ramp at some point? 
Liron Eizenman: When I think of the big ones that I have in my mind right now, they're not gone, but they are suffering from 2 main pain points. One is that the customer was over-optimistic, which led to a situation of over-inventory. So they thought that they will roll out the units much, much quicker, which means they bought too many parts because they thought that they will sell much more. And that is right now leading to a situation where they have too much inventory.
 And to some extent, the second item is related to the first one, which is that they're actually suffering probably from the global economy and slowdown in IT infrastructure investments. So they're not able to sell as much as they wanted. But we know -- we're in touch with those big accounts and big wins. They're still deploying, even though the fact that they're not even planning to order from us this quarter or next quarter, and we don't know exactly when they will return buying from us. Definitely, it's something that they are still selling. They're rolling out, but not at the pace that they wanted to do so. 
Alex Henderson: Is there any portion, 3/4 or more of them are still operative? Any sense of what might have gone away versus continuing? 
Liron Eizenman: So right now, as I said, I don't believe any of them went away. I believe that in a time frame of 1 year, give or take, we will see some of those big guys coming back and generating revenue with us. 
Alex Henderson: And then going back to the balance sheet, your inventory is quite a bit higher than normal relative to your revenue run rates. Can you talk a little bit about how rapidly you can bring that inventory down? What do you think the risk is that some of that inventory might be obsoleted by sitting on the shelf for too long? And kind of monetization of that? Obviously, you did a great job on the receivables here, but I think the inventory is the next piece of the free cash flow generation. 
Liron Eizenman: So first of all, we believe that the inventory value is real value. I mean, that -- we believe it's high-quality inventory, and we're monitoring it. And it did decrease by $7 million this quarter. We believe it will continue to go down. I cannot give an exact number because I don't know exactly what it will go down by, but yes, we expect it to continue to go down. And despite the fact that with certain customers, they're not ordering as quick as they said that they will, they're still ordering, and we believe they will continue to order in the future.
 And our purchases also from suppliers is obviously lower, and we're not increasing our inventory as well. We will just eat our inventory and continue to deplete it until we'll be in a position that it goes back to a relatively normal size to our revenue business. But we don't see a risk for that. We don't see a risk for having that stock or something of that sort in significant value, not at all. 
Alex Henderson: I'll see the floor. If there aren't any other questions, I'll come back and ask some more, but give somebody else a chance if they're in the queue. 
Operator: [Operator Instructions] The next question is from Alex Henderson of Needham & Company. 
Alex Henderson: So going back into the cost cutting moves, can you talk about what you've done in terms of the time line of the staff cuts? Are they all now completed? Were they in for the entire quarter? How do I think about the degree to which that's already in the first quarter and alternatively, whether there's still further cuts to come benefiting future quarters? 
Liron Eizenman: So we completed the cuts that we wanted to do. Right now, we're not expecting significant cuts here and there maybe, but not something that should impact the numbers significantly. The cuts were made during Q4. The full impact of them, I think, was completely realized in Q1. If not, then, let's say, 90% or so. So the numbers that you're seeing right now, as Liron said earlier, is what we expect to see on the OpEx going forward. 
Alex Henderson: And going forward, do you think that you're done with anything else on the cost side that might be changing going forward, or is that the completion of all your intentions on that front? 
Liron Eizenman: Can you repeat the question? I couldn't hear it. 
Alex Henderson: Just to be clear, there's no additional cuts or other things being contemplated at this point? 
Liron Eizenman: No. Not at the moment. 
Alex Henderson: And then, going back to the time line for the year, assuming the back half is considerably stronger, do you still think you'll be at the lower end of the gross margin band? If you're talking about a band of 27% to 32%, should we be in the midpoint to the lower half of the gross margins, even as we exit the year, because the baseline is so much lower than normal? 
Liron Eizenman: Yes. I think that's the first assumption. I think that's pretty much where we find ourselves. 
Alex Henderson: And any thoughts on the tax line, whether that will be something that you're still paying out, or do you think there's any opportunity for that to zero out because this is a very low level of profitability? 
Eran Gilad: Assuming 2024 will not be profitable, we expect annual income tax of approximately $0.5 million. 
Alex Henderson: So pretty much similar to the first quarter for the year, maybe a little larger? 
Eran Gilad: The first quarter was lower than the expected level due to one-time reasons. So I repeat, it should be approximately $0.5 million for the full year. 
Alex Henderson: That's better than the $1 million plus we had in our model, so that's what I meant. Okay. I'll see the floor. 
Operator: The next question is from Don McKiernan of Landolt Securities. 
Donald McKiernan: I think earlier in the call you mentioned a couple of maybe larger deals you're working on. My question is, are these old deals that have come back, or are these new opportunities? And if so, can you provide some color on that? 
Liron Eizenman: I'm not sure which big deals you're referring to that we worked on. Maybe you can clarify the question a little bit more? 
Donald McKiernan: Well, I guess you mentioned some larger opportunities, I think, at the early part of the call. Maybe just provide some color on that? 
Liron Eizenman: I'll try. I hope I'm aiming for what you're asking for. 
Donald McKiernan: Okay. Sure. 
Liron Eizenman: So we -- I mean, we changed a little bit of our methodology in the sales. I think, if we're talking about design wins that we already achieved and that are ramping up slower than we expected, I think I touched on it a little bit on Alex's question, we think it will ramp-up. Hope the ramp-up will continue from our perspective, let's say, in about 1 year. And if you're talking, maybe you're asking about the 2 products we discussed that we're developing, product families that we're working on, then we believe that those will be something that could be significant for our customers and for us as big revenue projects in the future.
 Right now, we prefer to kind of stay still in stealth mode a little bit with regards to them. But I can add a little bit of color on that. On one of the product families, we're developing it together with 4 customers of ours that are already committed to the product, and it's also being developed together with a major chipset vendor.
 And the second product family, it actually adds some critical features to our Edge products, so it's within our existing customer base of our Edge products, and they need some very critical features that are not found in common products. So there is a level of customization here, and it will allow them to deploy those products in areas and environments they're not able to do so today. So we think that could be very big as well. I hope I got to those. 
Donald McKiernan: Yes, I think it was really more about 2 new product families rather than maybe 2 opportunities. So that helps a lot. Yes, thanks. And then, you have sort of a relationship with a company in the AI space. Is that panning out at all? Resulting in any opportunity for you? Artificial intelligence. 
Liron Eizenman: Sure. So in the AI space right now, yes, we do have a few AI vendors, key vendors we're working with. Right now, we're in POC stage. There's no design wins yet. It's definitely one area that we're looking at. And right now, it's POC stage with a few customers. I cannot add much more than that right now, at least apart from the fact that we were hopeful maybe some of those would materialize into a product. Hailo is one of those vendors, an Israeli company as well. So we're very close to them, working with them closely. We hope it will generate maybe another pipeline of new deals as well. 
Operator: There are no further questions at this time. Before I ask Mr. Eizenman to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available by tomorrow on Silicom's website, www.silicom-usa.com. Mr. Eizenman, would you like to make your concluding statement? 
Liron Eizenman: Thank you, operator. Thank you, everybody, for joining the call and for your interest in Silicom. We look forward to hosting you on our next call in 3 months. Good day. 
Operator: Thank you. This concludes Silicom's first quarter 2024 results conference call. Thank you for your participation. You may go ahead and disconnect.